Operator: Greetings and welcome to the Lithia Motors Third Quarter 2015 Earnings Conference Call. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. As a reminder, this conference is being recorded. I'd now like to turn the conference over to John North, VP of Finance. Thank you. You may begin.
John F. North - Vice President, Finance and CAO: Thanks and good morning. Welcome to Lithia Motors' third quarter 2015 earnings conference call. Before we begin, the Company wants you to know that this conference call includes forward-looking statements. Forward-looking statements are not guarantees of future performance, and our actual results of operations, financial condition, liquidity, and development of the auto industry and markets in which we operate may differ materially from those made and/or suggested by forward-looking statements on this call. Examples of forward-looking statements include statements regarding expected operating results, projections for our 2015 and 2016 performance, expected increases in our annual revenues related to acquisitions or open points, anticipated availability from our unfinanced operating real estate and anticipated levels of future capital expenditures. We urge you to carefully consider this information and not place undue reliance on forward-looking statements. We undertake no duty to update our forward-looking statements, including our earnings outlook, which are made as of the date of the release. During this call, we may discuss certain non-GAAP items such as adjusted net income and diluted earnings per share from continuing operations, adjusted SG&A as a percentage of gross profit and adjusted pre-tax margin. Non-GAAP measures do not have definitions under GAAP and may be defined differently and not comparable to similarly titled measures used by other companies. We caution you not to place undue reliance on such non-GAAP measures, but also to consider them with the most directly comparable GAAP measures. We believe the non-GAAP financial measures we present improve the transparency of our disclosures, provide a meaningful presentation of our results from core business operations, because they exclude items not related to core business operations and improve the period-to-period comparability of our results from core business operations. These presentation should not be considered an alternative to GAAP measures. A full reconciliation of these non-GAAP items is provided in the financial tables of today's press release. We've also posted an updated investor presentation on our Web site, lithiainvestorrelations.com, highlighting our third quarter results. On the call today are Bryan DeBoer, President and CEO; Chris Holzshu, Senior Vice President and CFO; and Sid DeBoer, Chairman. At the end of our prepared remarks, we will open the call to questions. I'm also available in my office after the call for any follow-up you may have. And at this time, I'd like to turn the call over to Bryan.
Bryan B. DeBoer - President, Chief Executive Officer & Director: Thanks John. Good morning and thank you for joining us today. Earlier, we reported third quarter adjusted net income of $53.6 million compared to $34.9 million a year-ago for an increase of 54%. We earned $2.03 per share in the third quarter compared to $1.32 per share last year, up 54%. Our revenue was over $2 billion in the third quarter, a 61% increase. From this point forward, all comparisons will be on a same-store basis. Total sales increased 12% as all four business lines increased double digits. New vehicle SAAR was 17.8 million in the quarter, the highest national results since 2005. In the quarter, new vehicle revenues increased 11%, new vehicle average selling prices increased 2%. Unit sales increased 10%, which was higher than the national average of 6%.Domestic units increased 15% compared to 8% nationally. Import increased 5% compared to 5% nationally and luxury units increased 6% compared to 7% nationally. Gross profit for new vehicle retail was $2,185 compared to $2,231 in the third quarter of 2014, a decrease of $46. Leasing penetration improved on a same-store basis, up 33% from the prior-year period. Our store personnel continue to focus on accelerating the new vehicle purchase cycle, while improving the supply of future used vehicle inventory and increasing customer retention. Retail used vehicles increased 13% in the quarter. Our retail used vehicle average selling price increased 3%, as certified vehicle growth continued to outpace other categories. We retailed 10% more used units over the prior period, resulting in a used to new ratio of 0.83 to 1. In the quarter, certified units grew 19%. Core units increased 8% and value auto units increased 5%. Our used vehicle gross margins declined 10 basis points due to higher average selling prices. Gross profit per unit was $2,546 compared to $2,489 last year for an increase of $57. On a 12-month rolling average, we sold 61 used vehicles per store, up from 55 units in the comparable period last year. Our goal to retail 75 used units per store still provides considerable upside in the future. We continue to grow used vehicle sales as inventory supply increases in the marketplace. Additionally, our stores continue to recruit and develop used vehicle managers with the ability to source, recondition, and merchandize used inventories. Our F&I per vehicle was $1,274 compared to $1,203 last year or an increase of $71 per unit. Of the vehicles we sold in the quarter, we arranged financing on 74%, sold a service contract on 44%, and sold a lifetime oil product on 36%. Our penetration rates and profitability improved in all three categories over the last year. In the third quarter, the blended overall gross profit per unit was $3,638 compared to $3,565 last year, an increase of $73 per unit. This was complemented by an increase of 10% in unit volumes. As we have previously discussed, our store personnel monitor total gross profit generated rather than the margin percentage to evaluate and drive their performance. Our service body and parts revenue increased 10% over the third quarter of 2014. Customer pay work increased to 8%; warranty, 25%; wholesale parts increased 4%, and body shop increased 4%. Our total gross margin was 15.3%, unchanged from the same period last year. As of September 30, consolidated new vehicle inventories were at a days supply of 64, a decrease of eight days from a year-ago. Used vehicle inventories were at a days supply of 54, the same as a year-ago. We completed three acquisitions in the third quarter, Missoula Ford and Great Falls (7:05) Subaru Hyundai GMC in Montana and the only Acura store in Honolulu, Hawaii. The fourth quarter is off to a good start with the acquisition of Concord, Chrysler Jeep Dodge Ram and Fiat in California. Thus far in 2015, we've purchased or opened six locations with estimated annual revenues of approximately $220 million. The acquisition market remains very active with a significant number of stores for sale. With Lithia targeting exclusive markets and DCH pursuing a metropolitan market strategy, we have identified more than 2,600 stores nationwide as candidates. We remain confident that we will find accretive purchases in the near-term to increase our portfolio and continue to grow earnings. We remain optimistic that pent-up demand stemming from the past seven years of new vehicle SAAR performing below averages will be realized over the next few years. This opportunity will drive growth in all four business lines, complementing the push for market share gains and greater earnings by our store leadership. This improved optimism, coupled with strong performance in the first nine months of the year, has allowed us to increase our outlook for 2015. Chris will be providing more detail to follow. We're also introducing our fifth milestone of $8 a share in earnings to supplement our remaining milestones of $6 and $7. As always, we anticipate achieving these milestones in a one to three year timeframe. With that, I'll turn the call over to Chris.
Christopher S. Holzshu - Senior Vice President, CFO: Thank you, Bryan. At September 30, 2015, we had approximately $196 million in cash and available credit, as well as unfinanced real estate that could provide another $108 million in 60 to 90 days for an estimated total liquidity of $304 million. At the end of the third quarter, we were in compliance with all our debt covenants. During the quarter, we completed $16 million in mortgage financing. We will continue to selectively mortgage properties to provide additional flexibility and to take advantage of the current rate environment. Our free cash flow, as outlined in our investor presentation, was $58 million for the third quarter of 2015. Capital expenditures, which reduced this free cash flow figure, were $14 million for the quarter. We estimate generating over $160 million in free cash flow in 2015, providing significant capital for internal and external investment. Our annualized net debt-to-EBITDA is approximately 1.7 times, reduced by over a half a turn from year-end, demonstrating the impact that strong financial performance has on our balance sheet. As a result, we have ample liquidity when necessary to complete larger acquisitions. Our capital strategy is unchanged as we balance acquisitions, internal investment, dividends, and share repurchases. Our first choice for capital deployment remains to grow through acquisitions and internal investment. But regardless of category, all investment decisions are measured against strict ROE metrics to generate solid long-term returns. Our third quarter adjusted SG&A as a percentage of gross profit on a same-store basis was 64.3%, a decrease of 160 basis points over the third quarter of last year. Throughput, or the percentage of each additional gross profit dollar over the prior year we retained after selling costs, and adjusted to reflect same-store comparison, was 49%. We continue to target incremental throughput in a range of 45% to 50% in the future. On a consolidated basis, including the effect of recent acquisitions, our adjusted SG&A as a percentage of gross profit was 66%. On a sequential basis, this reduction was 60 basis points from our consolidated 66.6% result in the last quarter. As we continue to integrate the DCH acquisition into our operations, we will target a full-year consolidated SG&A to gross profit in the mid-60% range. As previously announced, we entered into a transition agreement with Sid DeBoer, reflecting his changing role with the Company. Effective January 1, we will cease paying him like an employee, including any performance-based compensation arrangement. This agreement results in a $1.5 million annual reduction from its previous compensation package or approximately $0.04 per year. We reported an accrual of approximately $18 million in the quarter to reflect the discounted value of the arrangement. We've isolated the impact of this as a non-core item and removed it from our pro forma results. Based on the results in the third quarter, we have increased our 2015 guidance as follows. We expect fourth quarter 2015 earnings per share of $1.61 to a $1.65, and full-year 2015 earnings per share of $6.89 to $6.93 per share. We also expect first quarter 2016 earnings per share of $1.46 to $1.50 and full-year 2016 earnings of $7.15 to $7.35 per share. And setting these estimates, we'd remind you that our approach to guidance remains unchanged. We generate a bottoms-up model using current store performance and current market conditions to derive overall Company performance estimates that have a high probability of success. In 2016, we're expecting modest improvements in sales rates and similar trends in recent execution at our stores. Our guidance does not include the impact of future acquisitions. However, given the robust activity in the marketplace, we anticipate acquisitions will play an increasingly important part of our future growth plan. This is reflected in the $8 milestone that Bryan introduced earlier in the call. For additional assumptions related to our earnings guidance, please refer to today's press release at lithiainvestorrelations.com. This concludes our prepared remarks. We'd now like to open the call to questions. Operator?
Operator: Thank you. Ladies and gentlemen, we'll now be conducting a question-and-answer session. Our first question comes from the line of Michael Montani with Evercore ISI. Please go ahead with your questions.
Michael Montani - Evercore ISI: Hey, guys. Good morning. Thanks for taking the question. I wanted to ask first question for Sid and for Bryan really which was you know looking at residual values and the Manheim index has shown quite a bit of resilience, you know I've been getting a lot of questions about if and when that's going to roll over and what that pretends about demand and I guess having the benefit and some experience, it would be interesting to hear managements view on sustainability of residuals, you know the impact that CPO would have in this cycle where maybe it wasn't in place the same extent in 2000 and 2002?
Bryan B. DeBoer - President, Chief Executive Officer & Director: Hi, Mike. This is Bryan. Hey, maybe to start thank you for picking up coverage as well, we're glad to have you on board.
Michael Montani - Evercore ISI: Thanks.
Bryan B. DeBoer - President, Chief Executive Officer & Director: If we look at residual values and we look at what we believe will be future trends, what we're starting to see initially, is that they're starting to be increase supplies in used vehicles. So off leased vehicles are becoming more prevalent, which give – would give indication that values may soften a little bit as supply begins to loosen, and I think those trends may continue as the SAAR rates continue to climb as well.
Sidney B. DeBoer - Founder & Executive Chairman, Chairman: This is Sid. I just confer with Bryan there, I concur. I mean, it's pretty much this is kind of a stable position we're in now. There is no extremes.
Michael Montani - Evercore ISI: Yes. Okay, great. And if I could just follow-up, you know one area that was impressive was that the total gross on a same-store basis was actually up on the front-end, I noticed that on a reported basis though it was not, and I guess the question I'd have is like what specific initiatives have you found have been successful at core Lithia that you can transpose and put into practice both at ECH and some of the other acquired stores and particular on the F&I side and also on the used vehicle side to make sure that as you cycle DCH and some of these larger deals that the total can grow in addition to the same-store?
Bryan B. DeBoer - President, Chief Executive Officer & Director: Mike, good catch, because you're accurate. Next quarter DCH will begin to roll into same-store sales as well, but for now, it's still showing independently. We were up by, I think, $73 in total growth, and I think what we're talking a lot with the DCH team is really making wonderful strides and be able to generate bottom line profits, but they're starting to get that it's about total growth and total volume and it's not individual per unit numbers. And, I think, because of that they're able to control their expenses in relationship to a total number, a lot better. So – and I think, it's something that I'm sure we will get asked on is our SG&A percentages. When we look at what we were trying to accomplish with DCH, their teams are doing wonderfully. I think it was a year-ago, maybe a little over a year-ago that we introduced the DCH included in our guidance and what we had forecasted for their SG&A and at the time they're in the mid 80% range, which was vastly higher than most of the public group as a whole. Well, when we look at today, they've been able to reduce their expenses through synergies, as well as through corporate staff, but the stores are starting to get it as well. For the quarter, they were at 71% SG&A, which is the middle of the pack of the -- of our public peer group, which is just wonderful considering that they are in competitive metro markets. And year-to-date they are at 73% and I think, they can see a pathway to get into that even lower 70 percentile or maybe even in the high 60 percentile.
Michael Montani - Evercore ISI: That's great color. Thank you, and good luck.
Bryan B. DeBoer - President, Chief Executive Officer & Director: You bet, Mike.
Sidney B. DeBoer - Founder & Executive Chairman, Chairman: Thanks, Mike.
Operator: Our next question comes from the line of Paresh Jain with Morgan Stanley. Please go ahead with your questions.
Paresh B. Jain - Morgan Stanley & Co. LLC: Good morning, everyone. Bryan, let me start up with a question for you. You stated in the press release and mentioned on the call as well that you anticipate further transactions in the near-term. What does that pipeline mix look like in the near-term more of these single stores, smaller dealer groups that we've seen this year, or is that a healthy mix of more sizeable deals?
Bryan B. DeBoer - President, Chief Executive Officer & Director: Thanks for your question. I think what we're seeing is, that there is a ton of opportunities. So we're able to be selective on not only large groups, but on our individual groups. So far this year, we've done six acquisitions or open points. We really believe that the pipeline is full and that was maybe a little bit slower than what would expect in the future. And I think it's because there is such a vast array of selection. When we look at whether or not they are going to be stapled diet, the one or two type of stores, I think we'll have a balance of those. We have our fingers into most deals. There has recently been two larger deals announced of which we were involved with both of those on the initial offerings and chose really not to do that for a number of different reasons. And I think when we look forward you're going to see us continue to grow, because now both Lithia and the DCH division have people growing with the ability to take on new opportunities.
Paresh B. Jain - Morgan Stanley & Co. LLC: Understood. And Chris a question for you on the $8 EPS milestone. And please correct me if I'm wrong, but you introduced the $7 milestone in February of this year with a target of achieving it in the next one to three years. And now within less than a year, the $7 EPS is already on the horizon. What are the factors that accelerated that part to $7 and why shouldn't we expect some of those factors to help get to the $8 milestone sooner?
Christopher S. Holzshu - Senior Vice President, CFO: Yes, Paresh this is Chris. Thanks for the question. I think the number one reason that we got to or working well towards that $7 milestone so quickly was because of the DTH acquisition. I think that as we continue to simulate acquisitions and continue to execute on a same-store basis, our intention is to accomplish those milestones as quickly as possible. The nice balance with the milestones and the external guidance that we provide is that, it does include the acquisition footprint that we feel like it's going to be the next phase in our growth. And hopefully, you could kind of see the correlation between the two. I mean, what we look at right now is 2016 incremental market growth is probably going to be in the 3% to 5% range. And so, everything above that is going to come from additional execution and as we've said, our guidance doesn't bake into that additional execution beyond what we're going to see in our current market. So, there is a balance between the two.
Paresh B. Jain - Morgan Stanley & Co. LLC: Got it. And lastly on S&I. Can you share anymore details on the Honda settlement with CFPB? Do we have more clarity on what the additional fee beyond the 100, 125 bps of spread could be?
Christopher S. Holzshu - Senior Vice President, CFO: Yes, this is Chris again. So, I think first off, before we just get into Honda, let me talk about the CFPB in general. One, the CFPB has made it very clear that the dealer plays a valuable role in the finance transaction. So, this isn't about eventually not making finance reserve. What it's about is it's about the disparate treatment with the consumer. And so, what we're finding is not just Honda, but a number of our partner lenders, both captive and non-captive, are looking at numerous strategies that they are approaching to satisfy the disparate treatment with the CFPB, but what we're finding is none of those really have a material impact in the overall finance reserve, that we have, so.
Sidney B. DeBoer - Founder & Executive Chairman, Chairman: This is Sid. I'm on the National Auto Dealers as a Director from Oregon. I just spent three days with them in a meeting, the quarterly meeting, and most of the discussion was about this and they're working hard to find a solution that works this revenue neutral for all this and it looks like they're making good progress.
Paresh B. Jain - Morgan Stanley & Co. LLC: That's good to hear. Thanks, guys.
Bryan B. DeBoer - President, Chief Executive Officer & Director: Thank you.
Operator: Our next question comes from the line of Steve Dyer with Craig-Hallum. Please go ahead with your questions.
Steven Lee Dyer - Craig-Hallum Capital Group LLC: Thanks. Good morning, guys.
Bryan B. DeBoer - President, Chief Executive Officer & Director: Hi, Steve.
Steven Lee Dyer - Craig-Hallum Capital Group LLC: Bryan, that was impressive improvement on SG&A, the gross at DCH. And, Chris, you threw out a mid-60s SG&A to gross, I think and I missed for what timeframe that was?
Christopher S. Holzshu - Senior Vice President, CFO: Yes, Steve. We're going to continue to focus on improving the SG&A by working on the initiatives not just at the DCH stores, but at our Lithia stores that are still well above kind of where the company average is today. If we break it out by state, we currently have about five states that are below the 60% range. We have about five states that are in the 60% to 70% range and we have four states that are actually above the 70% range and these are the mixture of DCH stores and DCH locations, as well as Lithia stores and Lithia locations. So that mid-65% range, we like to see it mid-term, we didn't give an exact timeframe on that and we didn't bake mid-65% into our guidance for next year.
Bryan B. DeBoer - President, Chief Executive Officer & Director: Still lots of opportunity.
Steven Lee Dyer - Craig-Hallum Capital Group LLC: Yes. Okay, great. And then you touched on DCH a little bit, did you see any margin pressure on the imports, midline imports, in the quarter just based on gas prices been where they are?
Bryan B. DeBoer - President, Chief Executive Officer & Director: Steve, this is Bryan. Actually one of the things that we, with the DCH team, thought that there was an ability to grow was $100 or $200 per unit in the competitive markets. And somehow they've seemed to extract that additional gross profit from their stores, which is a lot of the reason they're able to perform so well on their SG&A. More recently, there has been some pressures with Toyota and Honda, but all-in-all we're really satisfied with what we're seeing in the marketplace and it doesn't seem to be destructive in any way, shape or form so.
Steven Lee Dyer - Craig-Hallum Capital Group LLC: Thanks. Two more quick ones, I noticed inventory was up quarter-over-quarter, which I don't think seasonally normally is the case and I know both new and used on a days sales perspective, it's relatively in line. Any more commentary there or is that just a function of making some acquisitions late in the quarter or anything there would be great?
Bryan B. DeBoer - President, Chief Executive Officer & Director: Steve, Bryan again. That is a function of the three acquisitions that we just did, but more importantly, seeing an 18.2% SAAR in September. And if you start to look at the trends in those numbers, we're pretty confident that a quarterly number of 17.8% may be more typical, which is going to require a little bit more inventory. I think we were down seven days in new vehicles, but some of that is a function of DCH rolling in because that's not a same-store number. On used vehicle, we're at a same-day supply as we were last year, but we're kind of – we're okay with that being that our same-store sales rates in both new and used are up 10%, and the trends when we start to look at SAAR are looking like we may see some quarters and possibly years that are above the norm.
Steven Lee Dyer - Craig-Hallum Capital Group LLC: Great. And then lastly as you look at leverage you talked about de-levering, I think, a half a turn since the beginning of the year, do you sort of have a target leverage figure in mind or how are you sort of approaching that going forward?
Christopher S. Holzshu - Senior Vice President, CFO: Hey, Steve, this is Chris. I think that internally, the leverage ratio that we would see probably on the max side would be near that three times number. And as you can see, we're quickly de-levering from where we started 2015. And looking forward, as we keep talking about acquisitions and being the next phase of our growth plan, I think it's important for us to make sure that we have a balance sheet that can acquire a significant number of stores if they come to market. And so, before DCH, our leverage ratio was about 1.3 times. So we've still probably got another year to get down there, assuming that we don't do a lot of acquisitions. But I think we feel that the acquisition pipeline is full right now and our leverage ratio will probably at least stay where it's at or climb a little bit through next year.
Steven Lee Dyer - Craig-Hallum Capital Group LLC: Great. Thanks a lot, guys. That's it for me.
Bryan B. DeBoer - President, Chief Executive Officer & Director: Thanks, Steve.
Operator: Thanks. Our next question comes from the line of James Albertine with Stifel. Please go ahead with your question.
Jamie Albertine - Stifel, Nicolaus & Co., Inc.: Great. Thanks for taking the question and good morning, gentlemen. So it seems like as good a day as any to ask a hypothetical about going back to the future. I know John appreciates that.
John F. North - Vice President, Finance and CAO: All day long, Jamie. Marty is here.
Jamie Albertine - Stifel, Nicolaus & Co., Inc.: All day long. Keep it coming, and make like a tree and get out of here. And anyway, so let's say it's quite seriously, there is a lot of kind of consternation about where we are in the new vehicle selling cycle. And do we want to own or recommend dealers given the progression we've seen for new vehicle sales now tracking about $18 million SAAR. So, I guess my question is let's run a hypothetical, if you will. What's different today about Lithia, as it's structured as used in parts and service million other sort of ancillary businesses maybe historically are bigger contributors to EBIT margin today. What would happen if in fact we saw more of a precipitous decline and if you will, in the new vehicle selling cycle? And maybe this is a sort of an add-on to an earlier question as it relates to residual values and Manheim rolling over, but help us understand how you're protected if the market does in fact and I don't believe it will, but let's just hypothetically that it doesn't factor in for the negative?
Bryan B. DeBoer - President, Chief Executive Officer & Director: Jamie, this is Bryan. And Chris may have some thoughts here as well. I think the big difference between Lithia culturally is that our stores are guided to some extent from Medford corporate offices. However, they have the autonomy to move as their individual markets determine and as their teams see fit. And I think that's vastly different than the top-down culture that Lithia was 7 to 10 years ago, when this management team began to take over and to change the culture to a store-based, customer-based, competitive-based individual model. And I think that may not sound like a lot, but what happens is, the responsiveness and the time to market to be able to change your approach is much more proactive. And I think you can see it in our market share as an organization, up 10% to 12% as a whole over that time period, which is a vast amount. When you're talking about conquesting share, I think when you look at our ability to respond to the marketplace and the intellect that occurs even at corporate level that I think we're more shrewd in terms of how acquisitions are looked at and the ability to strike quickly if there is a downturn, that I just believe that the organization is positioned in a nice manner to be able to respond in multiple ways. Chris, you may talk about our transparency and our measurements and the way that we budget and forecast, because that could be more detective to be able to see those things before they occur?
Christopher S. Holzshu - Senior Vice President, CFO: Yes Jamie, Chris. I think responding to that with Bryan's question, we spend a lot of time with each individual store looking at the opportunities on a store-by-store location. So this isn't like a big picture. This is what we're going to do as a Company. What you'll find is, we have stores that execute very highly on used vehicles, but maybe they have a new vehicle opportunity or vice versa or they struggle on F&I or they have a tough time keeping their service customers, so their service retention is low. And so, I think if we keep it simple and we keep focusing on the four core parts of the business, we're going to continue to execute at a higher and higher level with the teams that we have. And so, I guess that's how I respond to that.
Bryan B. DeBoer - President, Chief Executive Officer & Director: I'd close with one other thought. That culture has developed people at all levels of the organization that understand the marketplace in a much wider array than what we used to. So they're not working in a vacuum and they're not looking up to us for answers. That combined with the autonomy has allowed us to attract and grow what we really believe is the best talent and we'll continue to be the best talent, which is how you make it through those trying times in more stable ways.
Jamie Albertine - Stifel, Nicolaus & Co., Inc.: And I don't think I heard you mentioned, but I would assume as well perhaps that more acquisition opportunities if the market was to start to turn, just considering the age of the average dealer/owner and perhaps some of the other sort of expenses that the OEMs are pushing on -- upon dealers, would that makes sense as well?
Bryan B. DeBoer - President, Chief Executive Officer & Director: Absolutely, Jaime, the acquisition market will definitely loosen and I believe that's something that is, if you have the people there to run them, it's even more of an opportunity than we have today. So we actually to get to the milestone eight, we need about $1 billion in additional acquisitions in revenue, so that's something that we're going to be looking at, I believe that can come before recession would ever possibly hit, because my true feeling is, is that -- and it's something that we provide in our investor packet. There is a slide that shows what occurs in a recessionary period and what occurs after a recessionary period, and usually a recession is followed by 1.5 times to 2 times of the same period of SAAR rates that are in excess of what the average is and I think this is going to be the first year of that in excess. And if we assume that there has been four to six years of declines or below average rates, we could be looking at a half a decade or a decade and a half of upside. And I think if you look at the benefits of that then you start to get into the units and operations and service and the ability of supply and used vehicles to grow plus you have the key -- the initial driver of new vehicle sales.
Jamie Albertine - Stifel, Nicolaus & Co., Inc.: And just a follow-up on to your point just then, it's sounds though and you outlined a pretty long time horizon, but at least where we stand today from a capital structure perspective, there is significantly -- there is enough liquidity rather to get you to that billion without even starting to come against any kind of internal, if you will, ceilings on debt to EBITDA or any other sort of metrics, correct?
Christopher S. Holzshu - Senior Vice President, CFO: Yes, Jamie, Chris. I mean, I think we feel that right now with our liquidity position, we could easily pickup $2 billion to $3 billion in revenue just by....
Jamie Albertine - Stifel, Nicolaus & Co., Inc.: Right.
Christopher S. Holzshu - Senior Vice President, CFO: ...expanding our floor plan line. So we feel very comfortable that we can make that happen.
Jamie Albertine - Stifel, Nicolaus & Co., Inc.: Got it. Thank you guys so much. I really appreciate it.
Bryan B. DeBoer - President, Chief Executive Officer & Director: Thanks, Jamie.
Christopher S. Holzshu - Senior Vice President, CFO: Thanks, Jamie.
Operator: Our next question comes from the line of Brett Hoselton with KeyBanc. Please proceed with your questions.
Brett D. Hoselton - KeyBanc Capital Markets, Inc.: Gentlemen, good morning.
Bryan B. DeBoer - President, Chief Executive Officer & Director: Good morning, Brett.
Christopher S. Holzshu - Senior Vice President, CFO: Good morning.
Brett D. Hoselton - KeyBanc Capital Markets, Inc.: As we think about your target -- gross profit throughput target 45% to 50%. I kind of tend to think of you guys as, well, is there an opportunity to see that as we look into next year, given DCH?
Christopher S. Holzshu - Senior Vice President, CFO: Yes. Brett, this is Chris. I mean I think, what we said all along with DCH is that we want to see them get closer on an SG&A to gross basis to what our public peers are at which is currently somewhere around that 68%, 69%. So on a full-year basis, there's still trailing or tracking in the mid 70% range. And so, yes, we definitely see that there is $15 million in upside in DCH if we could just pull them down to what our public peers look like that are operating in the metro markets.
Bryan B. DeBoer - President, Chief Executive Officer & Director: Brett, one other thing that you could run the numbers on, but as you begin to drive down SG&A into the mid or possibly even low 60 percentile range, the throughput number becomes more difficult because the delta between that and the gross starts to become more impactful. So pay attention to that, but obviously with DCH it does make it a little more attractive for the short term.
Brett D. Hoselton - KeyBanc Capital Markets, Inc.: And I was kind of just looking at your F&I gross profit per unit, it kind of implies a little bit of deterioration into the fourth quarter. I'm assuming that's a little bit of a conservatism on your part. And then as you kind of look into next year, it seems as though there may be, given your performance this year, some opportunity to exceed the 12, 10 as well, again both numbers seem fairly conservative, is that – how do you feel about that or do you feel like you're nearing the top or you can ...?
Christopher S. Holzshu - Senior Vice President, CFO: Yes. Brett, this is Chris again. Thanks for the question. The biggest indication of where is the biggest output of how our F&I PVR is going to come out, is really a mix of what's going to happen with new and used vehicles. Our new vehicle PVR is somewhere around 1,400, our used vehicle PVR is around 1,100. So if we sell more new vehicles or used vehicles, which is a benefit to the Company and they outpace unit sales for new while our overall F&I PVR may fall, but gross profit dollars again continue to generate at a higher rate. So, outside of that, we do feel like we still have some opportunity to execute. I mean, it really comes down to people, products and pricing and we're focused on the people aspect by trying to identify both performers and underperformers and figuring out ways to move the needle there. We continue to look at the products that we offer, make sure that we have the right products in the right stores and the pricing of those products. So about 80% or 90% of the vehicles we sell F&I products on at a fixed price on F&I. So we negotiate term and deductible. And so making sure that our pricing is in line with the market also has an impact on what those PVR numbers are. So there is a number of moving parts that we're looking at and we'll continue to focus on those two hopefully outpace where the guidance sits right now for Q4 and next year.
Brett D. Hoselton - KeyBanc Capital Markets, Inc.: Okay. And then, as we look at Parts and Service, you're looking at kind of a mid single-digit growth rate for next year, past couple of years or this year and last year, you've kind of been doing double digit growth rates. Is there something in particular that you're seeing slowing into next year?
Bryan B. DeBoer - President, Chief Executive Officer & Director: This is Bryan, Brett. I think...
Brett D. Hoselton - KeyBanc Capital Markets, Inc.: Hey, Bryan.
Bryan B. DeBoer - President, Chief Executive Officer & Director: ...we've been kind of flirting with that 10% plus or minus 1%, 2%. What really happens is that units in operations each year is kind of rolling in. It's not definitive. We don't see any big changes there. But we do believe that there are pricing pressures and other competitive pressures that could occur with independence. And I think that's why we may be a little bit hesitant to be too aggressive on it. The other thing that you could look at too is the ideas of recalls that you got to think, that at some point those are going to subside to some extent and that has a big impact on our warranty business.
Brett D. Hoselton - KeyBanc Capital Markets, Inc.: Okay. Fair enough. Thanks very much gentlemen.
Christopher S. Holzshu - Senior Vice President, CFO: Thanks, Brett.
Bryan B. DeBoer - President, Chief Executive Officer & Director: Thanks, Brett.
Operator: Our next question comes from Bill Armstrong with C.L. King. Please proceed with your question.
William R. Armstrong - C.L. King & Associates, Inc.: Good morning, gentlemen. So kind of looking at the industry with lower gas prices we've seen the domestic and luxury segments outperforming the midline imports. And with that as a backdrop, how do you see that affecting the pipeline of acquisitions, the potential asking prices and your appetite for acquisitions within those three buckets; luxury, domestic, import? How do you see that playing out in the acquisition market?
Bryan B. DeBoer - President, Chief Executive Officer & Director: This is Bryan again, Bill. I think all of these factors that you just discussed have a big impact on things. I still believe that the biggest driver of acquisitions is that we went through a decade or a half a generation of depressed values because of the recession and I think that's what's really driving it. I think if there is some type of gloom to some extent like what happened a few months ago with the stock market, like what may happen again that those type of events like you suggested can be elixirs to create more acquisition. Right now, there is just so many out there that the ability to be selective has been really good from our standpoint. And I think that that has a pretty good runway for the next five to 10 years that we'll continue to see that, because ultimately when there wasn't those acquisitions over the past decade, they're still going to sell because obviously the age of the dealer buy is what drives it.
William R. Armstrong - C.L. King & Associates, Inc.: Are you seeing perhaps maybe more in the midline imports, maybe more sellers out there testing the waters and maybe seeing asking prices getting a little more reasonable within the midline import?
Sidney B. DeBoer - Founder & Executive Chairman, Chairman: I think it's across the broad from luxury to import to domestic. We're not seeing any like spikes in any of them. I do believe that there are a considerable number of deals and that there can be some price softening, because over time if they don't sell because they're asking too much, they eventually come back to where the real market is going to be at on those deals. And I think that takes time and each dealer is different of how they look at it and how their financial advisors advise them. So it's hard to generalize there, but in whole, we like what we're seeing.
William R. Armstrong - C.L. King & Associates, Inc.: Okay, got it. Thanks for that color.
Bryan B. DeBoer - President, Chief Executive Officer & Director: Thanks, Bill.
Christopher S. Holzshu - Senior Vice President, CFO: Thanks, Bill.
Operator: Our next question comes from the line of Rick Nelson with Stephens. Please proceed with your questions.
N. Richard Nelson - Stephens, Inc.: Thanks. Good morning.
Christopher S. Holzshu - Senior Vice President, CFO: Hi, Rick.
N. Richard Nelson - Stephens, Inc.: I'd like to follow-up on DCH. If you could put this maybe in terms of what inning you think we are in there versus the potential, you talk quite a bit about the SG&A opportunities, but operationally maybe address some of the opportunities you see there.
Bryan B. DeBoer - President, Chief Executive Officer & Director: Thanks, Rick. Bryan. Let me talk about a couple of things. I mentioned the color on SG&A, no question. I do believe that there is revenue growth opportunity when we look at the volumes, because overall our volumes have only been up low single-digit so far this year, even though that's not in our same-store sales numbers. So, and I think the DCH team is actively pursuing and attacking that again. They've figured out how to make net and to control their expenses. Now they're balancing it between volume increases. So, that's still opportunity that I think can drop to the bottom line as well. In terms of what inning are we in, in terms of integration, I like how you phrase that, that's an appropriate time. I would say that we're in the middle innings. I believe that they know who they are and what they want to become. They have a wonderful culture. They are humbly confident, much like we had talked about. And I can say this, I think it was the smoothest integration that we may have ever had on an acquisition, including the small ones that were $30 million at this at $2.4 billion was really pleasing to see that our two organizations, who, if you recall, knew each other historically, but never were really obviously together at this level and we're proud to have them as our team mates and companions. Lastly I think it speaks volumes that their ability to grow people and their ability to attract talent into their organization, now in metropolitan areas much like our exclusive areas has provided them the ability to grow now. So, we are spending probably at least half our times in acquisitions talking about DCH acquisitions and we've now looked at approximately 30 deals in the tri-state area and Southern California. And we're pretty close on a number of different deals and we're very fortunate that these are sizable deals, relative to what Lithia's typical acquisitions are because there is higher volume. So we're proud of their team and we're proud to be combined together with such a wonderful team.
N. Richard Nelson - Stephens, Inc.: Great. If I could just follow-up on those last comments. You've made several acquisitions to date in the quarter and you had to date a few could discuss the multiples that you're paying and we're hearing about a lot of high asking prices out there. If you could comment, that'll be great.
Bryan B. DeBoer - President, Chief Executive Officer & Director: Yes. Rick, Bryan again. I think to be clear we pay three to five times EBITDA. We have not flexed on any of the deals. We don't plan on selecting on any of the deals. There is enough opportunity like I said that we don't need to. We're paying 10% to 20% of revenues and the deals some are breaking lose as we mentioned those couple of larger deals that were $400 million to $600 million in revenue. But most of the smaller deals we're not seeing -- that we're losing those deals and I think -- I don't think, we will see that either, because I think that, there is a market for deals in certain size. We don't think, we'll have to flex on DCH's either. There is enough stores in metropolitan areas and there is enough dominant areas of influence with what we would call average or underperformance that we can buy stores and provide wonderful multiples to our sellers that it's great in their eyes because they haven't been able to see the opportunities that profits could double or triple. And I think because of that our ability to continue to grow and not flex on our fairly stringent ROE hurdles make it for a nice model for the future.
N. Richard Nelson - Stephens, Inc.: Okay. That's kind of sound very helpful. Also if I could finally ask about geographic areas of strength and weakness, particularly the oil belt, if you're seeing anything different there?
Bryan B. DeBoer - President, Chief Executive Officer & Director: Great question, Rick. So, all states other than one were up on same-store sales with that one being one of the DCH segments, we actually break it down into Northern and Southern Cal. So, they are big state obviously, so we kind of say 15 states internally. Only New Jersey was down year-over-year in same-store sales growth even though that's not included in our global numbers. It gives you some color. The energy states of Alaska were up 17%, Montana up 23%, and Texas up mid single-digit. So we're not seeing a lot of weakness still there even though mid single-digit is a little more challenging than what we've found in the past. It's still real positive considering it's up 40% over pre-recessionary levels.
N. Richard Nelson - Stephens, Inc.: Got you. Hey, thanks a lot, and good luck.
Bryan B. DeBoer - President, Chief Executive Officer & Director: Thanks, Rick.
Christopher S. Holzshu - Senior Vice President, CFO: Thanks, Rick.
Operator: Our next question comes from John Murphy with Bank of America. Please go ahead with your questions.
Elizabeth Lane Suzuki - Bank of America Merrill Lynch: Hey, guys. This is Liz Suzuki on for John. This is just kind of a housekeeping question. But typically your fourth quarter has seasonally lower sales than the rest of the year and does -- do you think the inclusion of DCH helps to reduce that seasonality at all or just having stores in the northeast make it even more dramatic now?
Bryan B. DeBoer - President, Chief Executive Officer & Director: Hi, this is Bryan. Remember, the seasonality with DCH, they're in the northeast, is half of their revenues. So I'd expect that it should be fairly similar to previous histories.
Elizabeth Lane Suzuki - Bank of America Merrill Lynch: Okay. Thanks very much.
Bryan B. DeBoer - President, Chief Executive Officer & Director: You bet.
Christopher S. Holzshu - Senior Vice President, CFO: Thanks, Liz.
Operator: Our next question is coming from the line of Bret Jordan with Jefferies. Please go ahead with your questions.
Bret Jordan - Jefferies LLC: Hey, good morning.
Bryan B. DeBoer - President, Chief Executive Officer & Director: Good morning, Bret.
Bret Jordan - Jefferies LLC: Asked my quarterly leasing question, you said leasing was up 33%. What was the total penetration of leasing?
Bryan B. DeBoer - President, Chief Executive Officer & Director: Chris, you got that?
Christopher S. Holzshu - Senior Vice President, CFO: 14%.
Bret Jordan - Jefferies LLC: 14%. Okay. And I guess as you look at leasing expand and it's sort of a...
Christopher S. Holzshu - Senior Vice President, CFO: On a same-store basis.
Bryan B. DeBoer - President, Chief Executive Officer & Director: Same-store basis.
Christopher S. Holzshu - Senior Vice President, CFO: Yes.
Bret Jordan - Jefferies LLC: On a same-store basis.
Christopher S. Holzshu - Senior Vice President, CFO: On DCH the leasing penetration is about 40% and the difference on Lithia being at 14%.
Bret Jordan - Jefferies LLC: Okay. And as you look at leasing picking up, is there a point where you can carry less used inventory, because you've got better visibility of lease returns?
Christopher S. Holzshu - Senior Vice President, CFO: That's a good question Bret. Personally, I don't think so. I believe that that helps you grow your business. But I don't think you're going to reduce your overall inventories because of that, because we're still trying to grow core and value autos as well. And remember, core is over half of our business. So even as those half lease cars grow, I really believe no, it's not going to affect your inventories.
Bret Jordan - Jefferies LLC: Okay. And then one follow-up question. You just mentioned the DCH, the New Jersey comp, is there anything specific that was going on in New Jersey that impacted the performance?
Bryan B. DeBoer - President, Chief Executive Officer & Director: There was. Actually, if you remember January and February were hard hit with weather, more typical than it normally was, which is now happened two years in a row. And because of that, they were off I think mid-teens in same-store sales those first couple of months and that's still dragging. More recently, they're up mid-single digits to high-single digits. So it's looking better now.
Bret Jordan - Jefferies LLC: Okay. Great. Thank you.
Bryan B. DeBoer - President, Chief Executive Officer & Director: You bet.
Operator: Thank you. This concludes today's question-and-answer session. I'd like to turn the floor back to management for closing remarks.
Bryan B. DeBoer - President, Chief Executive Officer & Director: Well, thank you for joining us everyone. And we look forward to updating you again further in February. Bye-bye.
Operator: This concludes today's conference. You may disconnect your lines at this time and thank you for your participation.